Operator: Good morning, and welcome to the DICK'S Sporting Goods Fourth Quarter and Full Year 2014 Earnings Results Conference Call. [Operator Instructions] Please note, this event is being recorded. 
 I would now like to turn the conference over to Anne-Marie Megela, Vice President of Treasury Services and Investor Relations. Please go ahead, ma'am. 
Anne-Marie Megela: Thank you. Good morning, and thank you for joining us to discuss our fourth quarter and full year 2014 financial results.  Please note that a rebroadcast of today's call will be archived on the Investor Relations portion of our website located at dicks.com for approximately 30 days. In addition, as outlined in our press release, the dial-in replay will also be available for approximately 30 days.
 In order for us to take advantage of the Safe Harbor rules, I would like remind you that today's discussion include some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 which include, but are not limited to, our views and expectations concerning our future results. Such statements relate to future events and expectations and involve known and unknown risks and uncertainties. Our actual results or actions may differ materially from those projected in the forward-looking statement. For a summary of the risk factors that could cause results to differ materially from those expressed in the forward-looking statement, please refer to our periodic reports filed with the SEC, including the company's annual report on Form 10-K for the year ended February 1, 2014. We disclaim any obligation and do not intend to update these statements except as required by the securities laws.
 We've also included some non-GAAP financial measures in our discussion today. Our presentation of the most directly comparable financial measures calculated in accordance with generally accepted accounting principles and related reconciliations can be found on the Investor Relations portion of our website at dicks.com.
 Leading our call today will be Ed Stack, our Chairman and Chief Executive Officer. Ed will review our fourth quarter and full year result, key business drivers and outlook. After Ed's comments, André Hawaux will provide greater detail regarding our omni-channel growth, financial results, capital allocation and guidance for the first quarter and full year 2015. 
 I will now turn the call over to Ed Stack. 
Edward Stack: Thank you, Anne-Marie, and thanks to all of you for joining us today. As we announced this morning, we generated record earnings in the fourth quarter of 2014, delivering 17% EPS growth over the fourth quarter of last year and exceeding the high end of our guidance. We delivered a 10.9% increase in sales, improved operating margins year-over-year and recently announced the 10% increase in our dividend. Additionally, our balance sheet remains strong and our inventory is well-positioned as we enter 2015.
 Our consolidated omni-channel same-store sales increased 3.4%, with increases in both ticket and traffic. This was above our guidance of 1% to 3% and on top of a 7.3% shifted comp gain in the fourth quarter of 2013. These results were driven by the continued growth of our omni-channel network, our powerful marketing and merchandising strategies and the execution of these strategies by our store associates. Our efforts resulted in DICK'S omni-channel comp sales increasing 3.8%, led across most -- led by most categories of apparel, footwear and hard lines. 
 The trend in hunting improved significantly during 2014. And by the end of the fourth quarter, the pressures in this category were primarily limited to the guns and related accessory purchases. The golf trends also showed a slight improvement from the spring of 2014, but were down versus last year. Comps in Golf Galaxy were down 7.1%, with the DICK'S golf business slightly better. 
 The balance of our business, excluding hunt and golf, was up 6% for the quarter. The strong performance across the remaining categories validates our merchandising and space allocation strategies that we put in place during this past year.
 The fourth quarter was a more promotional environment as expected. Our team was able to navigate this environment and strategically execute clearance promotions, while exceeding our top line and bottom line growth targets and ending the year with our inventory in great shape. Our clearance inventory is at historical low levels across most categories is down -- and is down approximately 230 basis points across the company compared to last year.  
 As we head into the spring season, the inventory is well-positioned to support our anticipated sales. Key spring businesses have been set ahead of last year, and we have open-to-buy dollars available to chase hot product. The start of the spring season, however, has been delayed across much of the country due to the extreme weather conditions. We also remained a bit concerned about the West Coast port situation as some of our spring product is still sitting on the docks. 
 As a result, we have taken a cautious view of the rest of the quarter, and our quarterly guidance contemplates the results through February with some expected recovery. We don't believe this delay will have an impact on our full year results, but rather as a first quarter event. It is also important to note that in those handful of markets where athletes, families and outdoor enthusiasts are starting to participate in spring-related activities, we are seeing positive indicators that we have the right product for them, giving us the confidence in our merchandising strategy and our pricing strategy.
 In 2015, we will build our DICK'S business with continued investments in eCommerce as we further enhance our customers' omni-channel experiences and prepare to become eCommerce independent. We will also drive traffic and strengthen our brand equity through expanded marketing strategies, including our recently announced sponsorship of the United States Olympic Committee and Team U.S.A. We will also be continuing to scale our Field & Stream business.
 In 2015, we are also excited about our merchandising strategies with renewed focus on key items across our business. We will be expanding our women's athletic apparel offering as we launch CALIA by Carrie Underwood, a private label fitness apparel line. CALIA emphasizes lifestyle and is geared toward the athletic female. It will be available only at DICK'S Sporting Goods and provides a point of differentiation in our merchandise selection. We're very pleased with the feedback we've received from initial focus groups and are excited for its launch this Thursday.
 As a result of these strategies, we expect to deliver 2015 full year consolidated comp growth of 1% to 3% with earnings increasing to $3.10 to $3.20 per diluted share. A gradual improvement in hunting as well as continued, but diminishing challenges in golf, have been contemplated in our guidance.  In 2015, we will also continue to return capital to our shareholders through both share repurchases and dividends. 
 All in all, we're quite pleased with our Q4 performance, which as stated earlier, was a record Q4, with EPS growing 17% over last year. These results would not have been possible without our terrific team. I would like to thank our associates throughout our company for the hard work and commitment they showed to deliver these fourth quarter results and for their upcoming efforts during this new fiscal year. 
 I'd now like to turn the call over to André. 
André Hawaux: Thank you, Ed, and good morning, everyone. This morning I will cover 4 topics: first, our omni-channel growth metrics; second, our fourth quarter financial results; third, our balance sheet and capital allocation strategy; and finally, details of our full year and first quarter 2015 expectations.
 In 2014, we profitably grew our omni-channel platform. We opened 45 net new DICK'S stores and ended the year with 603 DICK'S stores in 46 states. These new stores continued to perform well with 94.7% new store productivity. Our stores also support the growth of our eCommerce business, which increased approximately 28% to over $625 million in sales in 2014.
 During the year, we launched a new mobile app and continue to iterate on our mobile, tablet and desktop sites to increase conversion. We also made significant progress in building the infrastructure for our eCommerce business. In the first quarter of 2015, we plan to launch golfgalaxy.com on our new platform as we prepare to bring the DICK'S.com eCommerce site in-house in January 2017.
 Now looking closer at our Q4 financial results. Total sales increased 10.9% to approximately $2.2 billion. Consolidated omni-channel same-store sales increased 3.4% compared to our guidance for 1% to 3% same-store sales growth and compared to shifted comps of 7.3% in the fourth quarter of last year. DICK'S Sporting Goods consolidated omni-channel same-store sales increased 3.8%, while Golf Galaxy decreased 7.1% in the fourth quarter. The 3.8% consolidated increase in the DICK'S business was driven by a 3% increase in traffic and by a 0.8% increase in sales per transaction. Our investment in eCommerce continues to pay off as it increased to 14.4% of sales in the fourth quarter of 2014 compared to 12.2% of sales in the fourth quarter of 2013.
 Gross profit for the quarter was $691.3 million or 32% of sales, and was down 25 basis points from Q4 of 2013. This was due primarily to a 64 basis point decrease in the merchandising -- in the merchandise margin. As Ed mentioned, there were elevated promotional levels within the quarter, particularly post holiday, which resulted in more aggressive clearance activity. Shipping expenses also increased as a percentage of sales due to the growth of our eCommerce business. These factors were partially offset by favorable occupancy leverage.
 SG&A expenses in the fourth quarter were $438.7 million or 20.31% of sales and leveraged 38 basis points from the fourth quarter of last year. This was primarily due to lower administrative and payroll expenses as a percentage of sales. The net effect of the above is that we delivered $1.30 per diluted earnings per share, above the high end of our guidance.
 Now looking to our balance sheet. We ended fiscal 2014 with approximately $222 million of cash and cash equivalents. We ended fiscal 2013 with approximately $182 million in cash and cash equivalents, with no borrowings outstanding on our $500 million revolving credit facility at the end of either fiscal year. In 2014, we invested in our business, and we also returned over $260 million to shareholders through share repurchases and dividends.
 Total inventory increased 12.9% at the end of fiscal 2014 compared to the end of fiscal 2013. As Ed discussed, we are very well-positioned with both the level and the quality of our inventory.
 Turning now to our capital allocation strategy. In fiscal 2014, we repurchased $200 million of shares. As we have demonstrated, we expect to use our share -- our repurchase program to both offset dilution and opportunistically repurchase shares. Since we started our $1 billion authorization at the beginning of 2013, we have repurchased over $455 million of stock and have approximately $554 million remaining under the authorization.
 In addition to our repurchase program, we further demonstrated our commitment to returning capital to shareholders by recently increasing our dividend by 10% to an annualized rate of $0.55 per share. This marks the first increase since we initiated our quarterly dividend. We believe that investing in our business, share repurchases and dividends all remain key elements of our capital allocation strategy.
 Now let's turn to our 2015 outlook. We expect full year earnings per diluted share of between $3.10 to $3.20 and same-store sales increase between 1% to 3%. Gross margin is expected to increase, primarily driven by merchandise margin expansion. SG&A is expected to deleverage slightly as we invest in building our brand, coupled with the expenses related to becoming eCommerce independent in 2017. Year-over-year preopening expenses are expected to remain relatively flat as a percentage of sales. We expect operating margins to increase slightly year-over-year.
 Net capital expenditures for the full year 2015 are expected to be approximately $245 million or about $365 million on a gross basis. 2014 net capital expenditures were $247 million or $349 million on a gross basis.
 As we noted in our press release this morning, our earnings guidance includes the expectation of approximately $100 million to $200 million of share repurchases in 2015. While the exact timing of the repurchases during the year may vary, we are committed to returning capital to shareholders through both share repurchases and dividends.
 In 2015, we expect to open up approximately 45 new DICK'S stores, relocate 9 DICK'S stores and relocate one Golf Galaxy store. We also remain focused on scaling our Field & Stream concept and expect to open 9 new Field & Stream stores this year.
 For the first quarter, we anticipate earnings per diluted share of between $0.49 to $0.53. Consolidated omni-channel same-store sales are expected to be approximately flat to up 2% compared to a 1.5% increase in our comp in the first quarter of 2014. 
 Gross profit margins are expected to decline slightly, due primarily to planned promotional events as we continue to further reduce clearance levels and transition sales from slower-moving areas to more robust categories, such as apparel and footwear.  Importantly, we expect gross margins to expand in each of the 3 subsequent quarters and for the full year.
 For the first quarter, SG&A expenses as a percentage of sales are expected to slightly leverage. Preopening expenses as a percentage of sales are expected to be relatively flat in the first quarter this year compared to the first quarter of 2014. Our first quarter outlook reflects the slow start to the spring selling season, as Ed mentioned, but we do not expect the delay to have an impact on our full year results.
 We continue to see significant growth opportunities for our business as we look beyond 2015. We look forward to sharing more details with you at our Analyst Meeting in New York on April 14, which we announced earlier today in the press release. Our Investor Relations team will be in touch with additional details of the event.
 Before concluding, I'd like to thank our associates for their hard work during the past year. They genuinely live the DICK'S brand, and this dedication shows both in the shopping experience we deliver to customers and in the results we generate for shareholders. I'm grateful to each team member of our, of our -- members of our team for their loyalty, drive and continued commitment. 
 This will conclude our prepared remarks, and I'd like to thank you all for your interest in DICK'S Sporting Goods. Operator, please open the line for questions. 
Operator: [Operator Instructions] And our first question will come from Seth Sigman of Credit Suisse. 
Seth Sigman: I wanted to talk a little bit about the promotional activity scene that's come up for a few quarters now. Maybe focusing first on the fourth quarter, if you can just elaborate on some of the categories that were impacted. How much of the promotional activity was centered around some of the challenged categories that we've seen all year? And then, tie that in with the expectation that in the last 3 quarters of 2015, you expect that merch margins can be up. What kind of gives you that confidence at this point? 
Edward Stack: There was -- it was a lot of the challenged areas that we -- that there were some promotional activity in. So around the ammunition category, around the golf category. Then, there was also some other promotional activity from an apparel standpoint, footwear standpoint, and we -- so it was just a promotional quarter in the fourth quarter between couponing and all of that. So -- but we expected that. We had indicated that. In this quarter, we think that it's still going to continue to be a bit promotional. We're going to use -- we're also going to be continuing -- our clearance inventories are at historically low levels. We'd like to actually get those down even a little bit lower. And some of the non-go-forward products that are still in the inventory, they're going to be in categories that have been slower moving. We're going to be cleaning those out, making room for more apparel, footwear, the categories that are growing quite well. So there may be some -- a little bit of margin rate erosion in this first quarter. But going forward, we don't think that there's going to be that same issue. Our inventory is in better shape. We're really focused on these key items, and we expect to be able to mitigate this -- the margin rate from that will come from mitigating markdowns through the balance of the year. And we're starting to see that in these categories that have performed better and that we've taken this key item approach. 
Seth Sigman: Okay, understood. That's helpful. Just a follow-up question on the store growth and the store strategy and whether there's a little bit of an evolution here where it seems like the store count, or the store growth expectation, 45 stores in 2015, is about in line with last year, maybe a little bit lower than we had expected. Do you still feel confident in that 800-store target? Is that still the thought process? And then, related, I think you also talked about relocating 9 stores. That seems to be an increase from prior years as well. So again, just trying to understand the evolution of the store strategy. 
Edward Stack: Right. So yes, we still feel comfortable with this storing strategy. As we said, we're -- we want to make sure that we go about this in a -- an orderly fashion. So we still feel good about the number of 800 stores. The relocated stores, I wouldn't read anything into that other than over the next couple of years, we will have, because of the growth ramp we had 10 years ago, there will be more and more stores that are -- the leases are coming due. And when we have an opportunity, where appropriate, to relocate the store into a shopping center or a retail node that might be a better node today than it was 10 years ago, we're going to do that. And that's all this is. I wouldn't read anything into it. 
Seth Sigman: Okay, and just a clarification. The relocated stores, are they performing pretty much similar to how a new store would perform? 
Edward Stack: Yes. Sometimes, most of the time, even better. Because we're taking a store that -- most of these relocated stores are actually performing quite well. They're just -- we're able to make a better real estate deal. Or we're able to move to a better shopping center or a better retail node that's in same trade area. And the performance has really been quite good when we've relocated these stores. 
Operator: The next question will come from Chris Horvers of JPMorgan. 
Christopher Horvers: So I want to follow up on the golf category. So what are you seeing -- any commentary what you're seeing in the warm weather markets as it relates to golf so far? 
Edward Stack: No, I mean golf is better in the warm-weather markets than in the cold-weather markets right now, that's for sure. But it -- we're seeing it's getting better. It's -- it's improving, but it's still not back to last year's levels. And I think as the brands just start their marketing effort, TaylorMade just launched their new marketing effort around the R15 this past weekend with a different ad than they had originally put out there that they're hoping is a little bit better. We think that golf is going to be still a drag on the total sales, but not to the same degree that it was last year. 
Christopher Horvers: And then, as you think about last year, I think -- I forget, maybe it was second quarter, ASPs in golf hardware were down sort of high teens. How are you thinking about the promotional environment on golf in the spring? What's your view of the inventory levels that not only in your stores but in the channel overall that presumably as you lap that significant decline, do you think there's an opportunity, at least in that specific quarter, to see a golf benefit? 
Edward Stack: Well, we expect to see average prices move up because there's not the same clearance inventory out in the marketplace. Our golf inventory is very clean. Our inventory is down versus last year. Our clearance inventory is down versus last year. Our golf inventory really could not be in much better shape. And I would say that the vast majority of the brands that their inventories are in great shape too. So the whole channel doesn't have the same inventory issues this year that we did last year. We expect to see some margin rate improvement and some average retail price improvement. 
Operator: The next question will come from Camilo Lyon of Canaccord Genuity. 
Camilo Lyon: I was hoping, Ed, if you could maybe disaggregate the commentary around the guidance for Q1, when you mentioned both weather and the port delays. You could just maybe quantify how you're thinking about both of those issues affecting how your outlook is on Q1 from a comp perspective, and if you foresee any sort of delays from the ports spilling over into Q2? 
Edward Stack: Do we see -- so the one thing we know about the weather and the port delay, there is not an awful lot that we can do about either one of them. Although we're trying to expedite product, we did -- we obviously knew that the port delay was going to be an issue. We rerouted products to other ports as a number of other people did. We've flown in some product where necessary. But there are some things that get caught up in the port and we're late on some deliveries. So I don't know how much that's going to impact it, but it's all been an impacted -- put in to our guidance on kind of the worst-case scenario. The weather, we hope it gets better up in the Northeast. I was up in Boston last week. There's a boatload of snow up there right now. So we've kind of laid all of this out into our guidance. And we don't think it will impact the full year, but it's right now, it's having a bit of an impact on the first quarter. And if it gets better, then we've got some upside to our first quarter. 
Camilo Lyon: And could you talk about maybe the categories that are being impacted by the delayed shipments? And when you think that those backlogs of containers will start to release, so that you start to see improvements in your inventory flow? 
Edward Stack: Well, our inventory is -- when they're going to do that, I'm not sure. It will depend on how this stuff gets cleared on the docks and some of the stuff that's still out on boats in the docks. So we're not sure, but we're -- we feel okay about our business right now. We would just like to have this other inventory in here. In the categories, it's a little bit of everything as you could -- there's apparel categories coming in from Asia. There's footwear. There's golf product. There's a little bit for everything. That's a big port out there. 
Camilo Lyon: Definitely. And then just my final question, when you spoke about the promotional activity in the fourth quarter and the lingering effect into Q1, is it the usual suspects that are driving that promotional activity? Or are there new competitors coming into the market trying to win some share of your promotions? 
Edward Stack: No, it's just the same competitive set. 
Operator: The next question will come from Mark Miller of William Blair. 
Mark Miller: Is there a way to size the investment the company is making right now in eCommerce, so in 2014? And then, does that investment -- I guess, help us understand the progression out to 2017. Does that grow in your 2015 plans? And then, if you were integrated in the business today, what kind of lift would that present to you? Or what do you see in 2017 from that transition? 
André Hawaux: So we're -- so Mark, we're -- I'm going to give you some points that we talked about for 2014 and talk a little bit about 2015. When we meet at our Analyst Meeting on the 14th, we'll give you greater visibility into how we see, obviously, '16 and '17 going. So as you recall, last year, we talked about our investments, our incremental investments in eComm to build our independence to be roughly about $0.03, and that was what was in our 2014 number. In 2015, we're looking at about $0.04 that is about incremental investment related to the project, the in-sourcing project that we have. So that's the visibility I'd give you today. And as we talk with you all on the 14th, we'll give you more line of sight into what we think the investments are going to be. But as you can imagine, there -- the investments are substantive in a sense as we bring a very large site on to becoming independent. And we believe that it's the right thing to do. We have a growth business that's continuing to grow quarter in, quarter out. So we believe we're making the right investment. And so far, they're paying off pretty well. 
Mark Miller: And just to clarify, that $0.04, is that incremental to the $0.03? Or is that an incremental $0.01? 
André Hawaux: That's incremental to $0.03. 
Mark Miller: Got it. Okay. And then, can you provide further perspective on the U.S. Olympic deal? Obviously, that ramps into 2016. But is that a material marketing spend the company's planning? And will there be a dedicated assortment? What else might that entail? 
Edward Stack: Sure. It's not meaningful to the grand scheme of our marketing, but our marketing budget, it's all been part of the marketing budget. So you won't see a significant increase in our marketing budget this year over last year outside the launch of the CALIA brand that we're doing. But it's -- there's not a line of products around it. It's really more around supporting these unfunded athletes that are working hard to try to make the Olympic team. They're not funded by any of the larger brands, and giving them a place to work with flexible work hours, giving them the ability to have product that they need to train with. So it's around those types of things with this Olympic sponsorship and not about a line of product that we're going to bring out to sell. 
Mark Miller: And maybe just a final one, if I can. On Field & Stream, obviously, the farms and animal business has been tougher across the industry. But absent that, roughly where did you come in sales per square foot versus your plan? And maybe, just if you can give us a sense for where the private label business you think can go on that? 
Edward Stack: Sure. The -- so we're not going to talk specifically. We have indicated that we weren't really going to talk specifically about Field & Stream until we get this up and running. We've only had 2 stores opened up for more than a year. One has been opened up for about 17 months and the other one has been opened up for about 15 months. So this is really a new concept, and we're not going to get into any specifics. It's very de minimis in the grand scheme of things today, although we think it's a great growth driver for us going forward. From a private label standpoint, we think that the private label opportunity in Field & Stream is pretty significant. We also think it's important to continue to drive the brands that, that customer is really looking for a brand penetration. And we would expect the private label over a period of time to be slightly higher than what it is in DICK'S. But not significantly more than what we do inside the DICK'S business today. 
Operator: The next question will come from Kate McShane of Citi Research. 
Kate McShane: I wondered if we could have any more detail around the comp of your women -- your extended women and youth categories versus the average comp? And also how footwear may be compared to the company average? 
Edward Stack: Yes, so we're not going to talk about it in that granular of detail. But the women's and youth comps certainly outperformed the comp of the company as a whole. And what was the question on footwear, Kate? 
Kate McShane: Same question, but in terms of related to the company average comp, how footwear performed? 
Edward Stack: Yes, footwear was kind of in that zone of the company average. 
Kate McShane: Okay. My next question is new initiatives in spring aside from Carrie Underwood. Will there be any other brand introductions or categories that are being introduced? And with regards to Carrie Underwood, what is it taking space from? And what category is it addressing? 
Edward Stack: So there's no real other big initiatives or other brands that we're launching outside of the CALIA brand under Carrie Underwood. And what we're doing with that space is we're just reconfiguring some space, and it would be coming out of primarily adidas and Reebok. 
André Hawaux: I'd also like to just add, Kate, to Ed's earlier point, the real focus for us, in addition to the launch of CALIA, will really be on this key item focus that we're bringing to the marketplace, which I would say we, perhaps, in the past, lost our way a little bit. And we're really reemphasizing that and we believe it's going to pay pretty significant dividends. 
Kate McShane: Okay. And if I can just finish up with one last question on traffic. You mentioned you saw a 3% increase in traffic. Can you walk us through how that trended throughout the quarter? And maybe what initiatives you had in place from a marketing perspective that could have driven that above what you did in Q4 the year prior? 
André Hawaux: I'm not going to get into the flow of that in the quarter. But we had very good marketing initiatives, both from a brick-and-mortar standpoint with a lot of our marketing that we emphasized around the holiday, around Black Friday as well as specific traffic drivers to our eComm site, Kate. So we felt pretty good about the marketing we put in place, across the omni-channel space, to drive those traffic transactions. 
Operator: And the next question will come from Peter Benedict of Robert Baird. 
Peter Benedict: So you talked a lot about inventory being lean. Can you talk about the inventory levels in the kind of the firearms business, if you start looking at the hunt category? How have those trended? How do you feel about those, both at DICK'S and then what you see in the channel? And then, I'm curious what you guys saw in terms of average selling prices within that category during the fourth quarter. 
André Hawaux: So we won't get the average selling prices to that level of granularity, obviously. But our inventory in the gun pieces is a little bit higher than we would like it to be right now. But this is an inventory -- this is not inventory that has a shelf life or goes bad. So this is just product that we'll be able to sell through the year and into the next hunting season and then to the fourth quarter. So we feel very good about the quality of the inventory we have in firearms, although we'd love to have a little bit less. But we're not concerned about the quality of the inventory. There's not significant markdowns that we have to take in order to clear this out. 
Peter Benedict: And then, just on the footwear business, you mentioned kind of a company average type comp during the fourth quarter. Any call-outs there, when you think about basketball versus running? Or anything else we should be thinking about within footwear? 
Edward Stack: Basketball -- the only thing I'd say is, basketball is trending better than running. 
Operator: Our next question will come from Paul Swinand of Morningstar Inc. 
Paul Swinand: I realize I'm beating the horse a little bit here. But running's had a strong stretch here, and is it that the products is not so new anymore? I know we had all the lightweight and the Flyknit and all. Is it that the product is not inspiring? Or is it just a tough comps after 3, 4 years of being up? 
Edward Stack: Well, I think it's a couple of things. I think it's the tough comps but I think there's been some great innovation in basketball, driven by our friends out of Portland. So the basketball category is just -- and these categories, you kind of take a look at it, they cycled -- the running silhouette is the hot silhouette. And it kind of cools and basketball becomes the hot silhouette. And that'll be here for a little bit and that will transition back into running. So I think it's just a cycle. There's -- and the running silhouette will be back. The running business is still very good. And the core people that are out there, running, we service them. We've got the right product. That product is pretty good. But kind of the kids have kind of moved to more of a basketball silhouette than a running silhouette for right now. 
Paul Swinand: Okay, got it. I know we talked about the -- you talked already about the gross margin for the year and the color there. I know you've got some natural uplift coming through '17 with the take back of eComm and some other things. But can you give us just maybe a little more color on what you think the long-run potential is for gross margin improvement? Where it might come from? 
Edward Stack: Well, I think it will come -- it will continue to come from the mix of product. So as we continue to expand the Apparel business across men's, women's and kids as we continue to increase our footwear business and in other areas of our business that carry higher margins, there's going to be a mix that's going to increase that margin rate. I think we have some opportunity from an inventory standpoint to be better in-stocked on the better selling item, so we can mitigate some markdown pressure on the back end. And we'll do a better job from a buying in terms and conditions of sale. So it's really kind of back to basics. And as we've looked at this in our performance over the last couple of years, we think there's a real opportunity there. 
Operator: And next question will come from Sam Poser of Sterne Agee. 
Sam Poser: Just had a couple. There's been a lot of talk from other retailers regarding the impact of the minimum wage and how it may possibly have to raise wages. Are you seeing any -- what are you seeing there? 
Edward Stack: We continue to monitor the wage, what's going on from a wage standpoint. But the vast majority, we're paying above minimum wage today, so it's really not that big of an issue with us. 
Sam Poser: And I got a couple of more. What made you decide to go -- you're building out a nice branded apparel business with Under Armour, Nike and so on, especially developing the women's business. What made you move towards this, the Carrie Underwood collaboration there? 
Edward Stack: Well, I think it's just consistent with what we've talked about as trying to differentiate ourselves from what's going on in the marketplace. This is a category that's a terrific category right now. We felt that there was a void in the marketplace. And we put together a group of people a little more than a year ago to look at this and bring out this brand. And they've done a terrific job with it. It's out in the stores right now. It launches this Thursday, and the early reaction has been really -- has been quite good. But the primary reason is to continue to differentiate us in the marketplace from the competition. 
Sam Poser: Okay. And then, can you tell us 2 other things. When -- what is the terms of the Golf Galaxy leases right now? When are you going to start seeing the leases come up and possibly make a -- and possibly start closing more stores? And secondly, what is the golf inventory look like on a year-over-year basis right now? 
Edward Stack: Well, we talked at the Golf Galaxy stores, we've got a number of them that come up each year. And we're only going to close the ones where we think that there is -- that they're in a bad location or not performing very well. A number of these stores we may and we have been doing this, relocating those to a different location and to the new format. And as I had indicated earlier on the call from another question, our golf inventory is in as good a shape as it's ever been, much better than last year. We're very pleased. Our inventory level is down significantly. Our clearance level is down significantly. And the overall clearance in the channel, in the pipeline with the brands, is down significantly also. So we expect to see some AUR improvement in golf and also some margin rate improvement. 
Operator: The next question will come from Matt Nemer of Wells Fargo. 
Omair Asif: This is Omair on for Matt Nemer. eCommerce continued to be very strong despite what looks to be some tough compares from last year. Has there been any shift in strategy online? Maybe varying up the free shipping offers or anything like that, and/or perhaps an increase in online product SKUs? 
Edward Stack: I think there's a number of things. Our team has just done a great job as they've continued to be more experienced in this. We have changed up some shipping issues from time to time. And we've just done a really good job from an omni-channel standpoint of what's going on in the store, lining up our online presence with what we're trying to do in the store, lining up our online presence with what we're doing from a marketing standpoint. The collaboration between all of our groups here have just been terrific and has really led to this. Our eCommerce team has done a great job. They're coming up with new ideas on how to drive the business. They're learning more about what it takes to convert customers. And we're just getting more experienced and doing a very good job there. But we expect a -- we expect another good year this year. 
Omair Asif: And if I could follow up, as you open new stores, what sort of lift to the eComm business are you seeing in some of these new regions? 
Edward Stack: There's a big lift. We haven't said what it is specifically. But when we open up a store in a trade area or a market that we haven't been in before, there's a very meaningful increase in our eCommerce business. But understand, that's off a pretty small base, too. 
André Hawaux: Yes, and the numbers we've talked about, this we have to share with you all publicly, it's about 50% increase when we put a new store in a market. We see about a 50% growth rate from the zip codes in that area. But to Ed's point, that's off typically off a very small base. But we do see that happening and it continues to compound as those stores continue to penetrate the marketplace. 
Operator: Our next question will come from Simeon Gutman of Morgan Stanley. 
Simeon Gutman: André, a follow-up to an earlier question on omni-channel. You mentioned some of the investment dollars. Can you please remind us just some of the capabilities that DICK'S has internalized versus what still needs to be built, whatever time frame that may be? 
André Hawaux: Sure, I'll give it to you at a fairly high level. So when we launched our Golf Galaxy site in the first quarter, it will be on our new platform and we will have many of the components that we need. We will have all of the plumbing, if you will. We'll have to bring on, in the new modules, some new ship-from-store capabilities, some other ordering capabilities that we're bringing on with the new site. But as we bring Golf Galaxy on, we will start to iterate very quickly to all the things that we'll need for the DICK'S site ultimately to be live in 2017. So most of those capabilities, Simeon, are coming online with the golfgalaxy.com site. That said, it's going to be a much smaller site, right? So we're going to want to make sure, over the next couple of years, that we're able to scale bringing in the dicks.com site in 2017. But we'll have many of the capabilities right out of the chutes with more to come, obviously, as we continue to move towards 2017. 
Simeon Gutman: Okay. And then, a follow-up to the online question. Ed, is there a strong overlap right now in merchandise that's being purchased online versus the store? Or are you seeing a wider gap, meaning, people are -- they're purchasing the stuff that's online only? 
Edward Stack: Yes. No, what we're starting to see in as our -- as our online business gets larger, we're starting to see it act more and more like what's going on in the store. So the key items in the stores are the key items online. Although we do have that long tail of product online of some things that are not available in the store. But it's -- there's more and more overlap of what's going on in the stores from an online standpoint. 
Simeon Gutman: Are you tweaking store mix as you see things happen online? Or are you roughly in -- I guess that's always happening. But is there any changes that you're accelerating because you're seeing them online? 
Edward Stack: Well, there are certain things that we'll see online that we will then try to move into the store if needed and vice versa. So yes, the groups are talking back and forth to each other, exchanging information, and we move assortments back and forth all the time. 
Operator: The next question will come from Michael Baker of Deutsche Bank. 
Michael Baker: I wanted to focus a little bit on the hunting and golf business. Can you -- first of all, in past quarters, you've given us some -- the trends in hunting, I think down mid-single digits, for instance, last quarter. You said it's much better this quarter. Is it still down? Or is it positive yet? 
Edward Stack: It was down just a little bit, primarily because of the gun business. 
Michael Baker: Okay. And then, can you tell us, either separately or together, how much hunt and golf is as a percentage of total sales in 2014? What that was at a peak, what that is expected to be over time? 
Edward Stack: Yes, from a competitive standpoint, we're not going to get to that level of granularity. But we've indicated that the golf business will continue to be a less important part of our business, and not because of the reduction in golf sales, but as the reduction of golf sales as a percent to our total business. So as we continue to ramp the Field & Stream business, golf gets to be less of the total percent. We are growing other areas of the business at a pretty fast rate. As we've indicated, the women's business, the youth business, the footwear business. And as those things grow at a faster rate than golf, then golf becomes a smaller percent of the business. And that's not to be misinterpreted that we're not investing in golf. We still think golf's an important part of our business. It's going through a bit more of a difficult cycle right now. But we think it will be -- it will stabilize. And we are going to be in the golf business and we're enthusiastic about the golf business. 
Michael Baker: Okay, so then one follow-up to that perhaps is, I know you did a space reallocation initiative, took out about 1,000 square feet, as I recall, from golf. So that, I think, is behind you. But is there more now, is there sort of a second step in that reallocating more space to apparel and footwear than you had previously planned? 
Edward Stack: No, not coming out of golf, no. 
Michael Baker: Okay. One last one, I promise. We know the weather is terrible here in February in Boston. But Patriots' Super Bowl sales didn't offset that? It certainly helps. 
Edward Stack: Well, we appreciate that, but you didn't buy enough. 
Operator: Our next question will come from Sean McGowan of Needham & Company. 
Sean McGowan: A couple of -- that are kind of quick. André, tax rate that we should be using for 2015? 
André Hawaux: Let me look for that. I don't have it right off -- I think about 38.5% roughly is what I would use. It's going to move a little bit quarter to quarter based on things. But I think for -- what I would use for your modeling purposes, about 38% -- roughly 38.5%. 
Sean McGowan: And then, circling back on your commentary at the beginning of the call regarding the impact of the port delays. Ed, are you saying that it's not going to have an impact on the full year? You don't mean that you're actually going to make up for sales that are lost. You just mean it's not material for the whole year, is that what you mean? 
Edward Stack: Yes, I don't think it's not material for the whole year. And to be honest with you, there are some things we may be able to make up at the end of this quarter or into the next quarter. Because what's happened from a weather standpoint, we don't feel we've lost any market share. I mean, the kids, people aren't -- kids aren't out playing lacrosse in some of these markets. They're not out playing baseball yet. There's going to be a bit of delay of the season. So as we get caught up with inventory, I think that the demand is still there. So there's still a lot of products that need to be bought that haven't been bought yet because of the weather. 
Sean McGowan: Okay. And then, would you say that on balance for the fourth quarter, did -- was weather a favorable impact to your sales, neutral or negative? 
Edward Stack: I would say it was probably neutral to negative because it was really warm through those key selling months of November and December. We didn't really get much snow. We would love to have had the weather we have right now in November and December, but I would say the weather was neutral to negative. 
Sean McGowan: Okay. And last question, on fitness devices, a, are you seeing good business in that? And b, perhaps more importantly, are you seeing any kind of -- to the extent that you can track what goes on with the consumers, are you seeing any kind of rub-off where they buy the device, and as a result of being more interested in fitness, they're buying more clothing and shoes and other accessories? 
Edward Stack: We can't track the second part of your question yet. But just intellectually, you would think that it -- that it's either neutral or positive to that. But that business has continued to be very good, and we expect it to be very good in -- for the reasonable future. So more and more people are being active and more and more people are trying to compete with each other for number of steps or calories that they burn, et cetera. So I think all in all, it's neutral to probably positive. 
Operator: Our next question will come from Michael Lasser of UBS Investment Bank. 
Michael Lasser: Deals of the competitive landscape, so it was really promotional in the fourth quarter. Is this a new norm? Is this -- I think last year, there was partly an explanation where the -- you started off slow due to the weather, and others had to be aggressive to make up their plans. Well, we're starting to see a similar story play out. So what -- what's the chance that we're just going to -- a new intensely promotional environment for sporting goods? 
Edward Stack: Well, I don't think that's the case. And I think as evidenced by the fact that we said we think it's going to be a bit -- continue to be a bit promotional in this quarter, part of what we indicated at the margin rate is that we're going to be trying to clean out, clean some inventory down on some slower-moving categories to reinvest that in some faster-selling categories. We indicated that our margin -- we would expect margin rate expansion in the next 3 quarters. So no, I don't think it's a new normal. 
Michael Lasser: And Ed, there's been some documented struggles from one of your competitors. How does that play in to both your M&A strategy and then, your promotional strategy? 
Edward Stack: Well, we never comment on our M&A strategy. And our promotional strategy, I mean, we've known about what's going on with our competitors for a long time, and it's really not going to make any change in our promotional strategy. 
Michael Lasser: Okay. And then, one last quick one. You cited long-term gross margin drivers of being mostly focused on being sharp with inventory ordering and how you manage that. You had -- the company had done a good job of using technology to price optimize, size optimize. They also -- you also increased your private label penetration and as a result of some of those factors, drove significant amount of merchandise margin. Are those initiatives tapped out at this point? 
Edward Stack: No, I don't think so. I think we still got -- we've still got some opportunities and doing a better job with our inventory, our pricing strategies within that inventory. And we have an initiative that we started last year, which will be to start to grow our product development, our private label strategy again. I think you can see that with the launch of this -- of the CALIA brand, which everyone in the organization is very excited about. 
Operator: The next question will come from Sam Reid of Barclays. 
Sam Reid: A quick one here regarding square footage reallocation. Would you be able to kind of give us a sense as to how much that helped you during the quarter, specifically in some of those stronger categories that you guys have been highlighting over the past few quarters? 
Edward Stack: Sure. It helped us significantly. The -- as I said, the women's and kid's business, the apparel business, grew at a faster rate than the company as an average. Those categories have higher margin rates than the categories that they displaced, higher return over rate. So it's been a very big benefit to us. 
Operator: And our next question will come from Stephen Tanal of Goldman Sachs. 
Stephen Tanal: I'll try to keep it tight. The softer 1Q outlook in terms of the sales cadence, I just want to be clear that it sounds like you're saying that, that's embedding an expectation that trends will slow because of the West Coast inventory issues. Is that sort of correct? Is that the right way to think about it? 
Edward Stack: Well, we said that there's 2 things that's impacting that. So the guidance in the first quarter is looking at what -- how weather has impacted our business in the month of February. And we expect to have some improvement in that. And then, there's also some portion of this that we're just slower getting some products into the stores because of what's gone on in the West Coast. If I had to rank them 1, 2, I can't -- I'm not going to give you a percentage between 1 and 2. But if I had to rank which is the more significant piece of this, it's the weather piece that shut down a lot of stores. That is the biggest driver that -- more than the ports strike. 
Stephen Tanal: So to be clear then, store closure days in fab are worse than they were a year ago, is sort of what you're saying? 
Edward Stack: It's not any better. There's issues with store closing days. And you've got to take a look at -- we're not going to get into all the granular detail here. But store closing days depends on what day of the week it is, what week that the store closures happen in because all weeks and all days are not created equally. 
Stephen Tanal: Of course. And then, on the gross margin guide for 1Q, was any of that merch margin pressure at all related to the West Coast? Or that's also a promotional activity? 
Edward Stack: Yes, that's promotional activity, just cleaning out this inventory a bit more than we -- like I said, we're at historical low levels from a clearance standpoint. But there's some things we just feel that we've got the opportunity to clean a little bit deeper. And then, there's still some promotional activity out there as people are trying to clean up the fourth quarter, whether that's from an outerwear standpoint in certain parts of the country, if it's still the gun business, there's still some promotional activity out there. But we're seeing it moderate, and we think that there'll be margin rate expansion in quarters 2 through 4. 
Stephen Tanal: Understood. And then, lastly, occupancy leverage looks really good. It sounds like at least 50 basis points or so or right around there based on the disclosures you've given. Can you remind us these days at what point you start levering occupancy in terms of same per sales growth? 
André Hawaux: Yes, and we look at it -- Stephen, this is André. we look at it, really, on a total sales basis. It's a little deceptive to just look at comps for that. But we're looking at that 9% to 10% range as where we typically would see occupancy leverage for us on a full year basis. It's going to bump around quarter-to-quarter, but on a full year basis, those are the kinds of numbers we're looking at. 
Edward Stack: And that's 9% to 10% total volume, total sales, not comp. 
André Hawaux: Yes, that's what I said. That's what I said. 
Operator: Our next question will come from Joe Feldman of Telsey Advisory Group. 
Joseph Feldman: Most have been asked, but I wanted to follow up with something. Remembering a couple of years ago, there were a few, like equipment changes or rule changes. And I was just wondering, if there's anything like that on the horizon that might actually help spur some sales or even hurt sales. I think there was like some kind of gun ban on a particular type of rifle, ammunition, maybe. I wonder if that's something that you guys had sold. So any kind of equipment changes that you could talk about? 
Edward Stack: No, there's no equipment changes of any significance on the horizon. The biggest impact we had a couple of years ago was when the High School Association changed the bat standards for using a baseball bat, from the -- to the BBCOR bats, which would allow the ball to come off the bat slightly slower to help reduce injuries. And California was the first to adopt that, and then the next year, the rest of the country did. So every young man that -- or young girl who played high school baseball had to buy a new bat. And that was a big -- that was a -- that was great for our business. But there's nothing on the horizon like that in the future, in the near future. 
Joseph Feldman: Got it. And then, the other question I wanted to ask was, given the improving trends that we've been all seeing in the economy, I was just wondering, are you seeing any difference in what people buy in terms of -- like are people stepping up, maybe from the good to the better? Or from the better to the best or within categories? Are you noticing any changes or creep up in ticket? 
Edward Stack: I think we see some things where technology has really made a difference, such as baseball bats. Some of the higher-end baseball bats are perceived to be a real value. That's helped. Some of the apparel products or the apparel is much technologically has been better. They're buying that. But we don't see them stepping up just to step up. There has to be a perceived value in order to step up. 
Operator: The next question will come from David Magee of SunTrust. 
David Magee: I just had another question on competition. If you look at your stores that your opening now with your core concept, is the overlap percentage with other chain competition, is that a -- a number that's increasing over time or decreasing, would you say? 
Edward Stack: I'd say it's probably pretty much the same. I think it hasn't changed a whole lot. 
David Magee: So you all haven't changed your strategy as far as how close you want to be to like competition? Was that sort of what changed over time? 
Edward Stack: Yes, we haven't changed that at all. 
Operator: Our next question will come from Chris Svezia of Susquehanna Financial Group. 
Christopher Svezia: I guess, Ed, first for you, just on the outerwear business relative to our expectation in the fourth quarter. How did it perform relative to the average for DICK'S stores for you guys? That's footwear and cold-weather apparel. 
Edward Stack: Well, the -- it was okay. It was combining our expectations. It came later than we would have liked it to be had come, which means that there was a little margin rate pressure there because it came later. But all in all, we're pretty pleased with it. 
Christopher Svezia: Okay. The other question I have is just on the -- when you mentioned the ability to chase an inventory and inventory available for opportunistic buys. Just how do we think -- is that more than what you've seen in the past? Is that a way for you guys needed to drive traffic and comp and product margins in subsequent quarters? Just maybe talk about that if you could for a sec? 
Edward Stack: We've got -- we'll be trying to do that a bit more than we have in the past. And we will -- we'll buy that product and use it to generate traffic as a promotion at different times of the year. So we're getting out ahead of this and buying this product further in advance than we have in the past. So it's a much more important part of our program than it may have been over the last couple of years. 
Christopher Svezia: And is it -- is it across -- is it any category-specific? Or just kind of across the board? 
Edward Stack: It's across the board. We're taking a look at this at the ability to buy some short-run closeouts that we hadn't really done in the past that we could be used in a grand opening campaign or could be used in -- seasonally, in a particular market. So we're looking at these closeouts a lot more aggressively than we have in the past. 
Christopher Svezia: Okay. Fair enough. And 2 questions for you, André, real quick. Just on the deferred construction allowances, which I think it doubled year-over-year. I'm just curious, the increase, if that's timing, and then the other question I just have is just what, either if you want to talk to level of comp or to level of sales growth, do you need to leverage SGA with the additional investments in '15? 
André Hawaux: Sure. So let's talk about the first piece. So the deferred construction allowances are going to be -- a couple of things. One, is there's a little bit of timing there. The other is, just sort of the nature of some of the way we're building stores today. It's a little bit of a mix difference between build-to-suits and reverse build-to-suit. So that's going to affect a little bit about what the landlords typically give us in construction allowances. So that's what's the movements that you've got there. And with respect to SG&A, I think we're in that, again, total sales, not comp, but total sales in that probably, that 8% to 9% range is where we start to see leverage in total. 
Christopher Svezia: Okay. Even with additional investments in '15? 
André Hawaux: Yes, we see that. And as we mentioned on the -- in my prepared remarks, we'll see a little bit of deleverage in SG&A in 2015 as a result of some of the additional investments we are making in eCommerce independence. 
Operator: And ladies and gentlemen, that will conclude our question-and-answer session. I would like to turn the conference back to Edward Stack for his closing remarks. 
Edward Stack: I'd like to thank everyone for joining us today as we reviewed our fourth quarter call, and look forward to talking to everyone on our first quarter call. Thank you. 
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today's presentation. You may now disconnect your lines.